Operator: Ladies and gentlemen, welcome to the HOCHTIEF Full Year 2025 Results Conference Call. I'm Morris, the chorus call operator. [Operator Instructions] The conference is being recorded. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Mike Pinkney. Please go ahead, sir.
Mike Pinkney: Thanks, operator. Good afternoon, everyone, and thanks for joining the HOCHTIEF Full Year Results Call for 2025. I'm Mike Pinkney, Head of Capital Markets Strategy, and I'm here with our CEO, Juan Santamaria; and our CFO, Christa Andresky; as well as the Head of IR, Tobias Loskamp and other colleagues from the senior management team of HOCHTIEF. We're looking forward to your questions, but to start with our CEO is going to run us through the details of another very strong set of numbers and provide you with an update on the group strategy. Juan, all yours.
Juan Cases: Thank you, Mike and team, and welcome to everyone joining us for this results call. I'm delighted to present to you HOCHTIEF's results for 2025 a year in which we achieved an outstanding operational and financial performance as well as major advances in our strategic delivery. Let's kick off with the numbers and then I'll give you an update on the important progress we're making with our growth strategy. HOCHTIEF's operational net profit increased by 26% to EUR 789 million, which rises to 35% on an FX-adjusted basis. This result significantly exceeds the guidance we provided to the market 12 months ago of EUR 680 million to EUR 730 million and is even slightly above the updated 2025 target we indicated in November of EUR 750 million to EUR 780 million. Nominal net profit is also higher at EUR 902 million, up 16% year-on-year. The excellent profit trend was driven by strong sales growth of 15% to over EUR 38 billion, 21% adjusting for FX as well as higher margins. The quality of HOCHTIEF's profit delivery is underlined by the strong cash conversion achieved. Operating cash flow in 2025 of EUR 2.1 billion was EUR 248 million higher year-on-year pre-factoring, supported by strong working capital performance. As a result, the group ended the year with a slight reduction in net debt despite significant net strategic M&A investments in dividends. If we adjust for capital allocation effects, we would have finished the year with a net cash position of over EUR 1 billion. A further highlight of 225 was the acceleration in the growth of our project wins. New orders were sharply higher at EUR 52.6 billion, up 32% FX adjusted year-on-year with a strong fourth quarter momentum in key wins across our strategic growth verticals. New work secured during the year represents a book-to-bill ratio of 1.3x and highlights HOCHTIEF's positive growth trajectory. As a result, we ended last year with our order backlog at an all-time high of EUR 72.5 billion, up 18% on a comparable basis and providing a strong and diversified foundation for continued growth. Furthermore, we continue advancing in our derisking drive with around 90% of our project portfolio of a lower risk nature. Reflecting HOCHTIEF very strong performance and taking into account the solid growth prospects we envisage 2026 and beyond, the proposed dividend for last year is EUR 6.6 per share. This represents a 26% increase year-on-year, consistent with the group's operational net profit growth and is in line with our 65% dividend payout policy. The group's operational net profit guidance for 2026 of EUR 950 million to EUR 1,025 million, envisages another year of a strong growth of HOCHTIEF and corresponds to an increase of 20% to 30% year-on-year. Let's take a quick look at our performance at the second level. Turner delivered a standout performance in 2025. Sales increased by 34% year-on-year to EUR 25.8 billion or 40% FX adjusted driven by the very strong growth in our data center business. The acquisition of Dornan Engineering, the rapidly growing advanced mechanical and electrical business further enhanced growth. In other areas such as health care, education, sports and airports were also strong with solid double-digit revenue growth. Turner delivered every strong operational PBT, reaching EUR 921 million, an increase of 62% and above the top end of the recently raised guidance of EUR 850 million to EUR 900 million. And I think it is worth underlying that the original indication we provided to you a year ago of up to EUR 750 million was exceeded by a striking 23%. This profit growth was supported by a further increase in the operational PBT margin 60 basis points year-on-year to 3.6%, meaning that we have already surpassed the 3.5% target we had for 2026, a year ahead of schedule. And Turner's outlook remains extremely positive. New orders rose a very significant 38% to EUR 33.6 billion, with particularly strong growth in data center contracts, which more than doubled as well as increases in areas such as biopharma, aviation and commercial. As a result, the record year-end order backlog of EUR 37.7 billion was up 34% in USD terms. Due to Turner's sustained growth trajectory, we expect an operational PBT increase of 25% to 30% to between USD 1.3 billion and USD 1.35 billion in 2026. Moving on, CIMIC delivered a steady performance in 2025. On a comparable basis, sales were stable year-on-year with solid increases in the key growth verticals, offsetting the completion of large transport projects. I would highlight that data center revenues almost doubled year-on-year. Operational PBT of EUR 473 million was up 5% with a solid margin in line with 2024 and supported by improved operating cash flow development pre-factoring. CIMIC's solid order backlog of EUR 21.8 billion, was up by 6% year-on-year adjusted for the UGL Transport stake divestment and FX. Over half of the year-end work in hand relates to high-growth areas, including digital and advanced tech, defense and further diversification of the group's commodity mix. We expect CIMIC to achieve an operational profit before tax for '26 in the range of approximately EUR 780 million to EUR 830 million, a 4% to 10% comparable rate, adjusting for the UGL transport sale. Next, we have our Engineering Construction segment, which is on a very solid growth path. Sales of EUR 1.7 billion increased by 9% year-on-year, and operational PBT grew by 28% to EUR 98 million, both on a comparable basis and just ahead of our EUR 85 million to EUR 95 million profit guidance range. The business delivered a strong cash conversion with net operating cash flow of EUR 156 million in the period. During the year, Engineering Construction securing the orders of over EUR 6 billion, up a very notable 38%. As a consequence of this strong development, the EUR 13 billion order backlog is 18% higher on an FX-adjusted basis. For 2026, we see our Engineering Construction segment accelerating its growth with an operational profit before tax of between EUR 125 million and EUR 140 million, which implies an increase of up to 42% year-on-year. Let's take a brief look now at Abertis, which achieved a solid operational performance in 2025. Average daily traffic at the toll road company increased by 2% year-on-year with revenues and EBITDA on a comparable basis, up 4% and 6%, respectively, reflecting a solid underlying business performance. The operational net profit pre-PPA amounted to just over EUR 700 million with a year-on-year variation, including adverse tax effects in France. The profit contribution from our 20% stake in Abertis after PPA amounted to EUR 58 million, and we expect Abertis to deliver a similar operational contribution in 2026. Now allow me to update you on the group's strategic delivery and long-term growth opportunities. Active strategy has positioned the group as a uniquely well-placed global provider of engineering-led end-to-end infrastructure solutions. During the last 3 years, we have advanced to become a leader in rapidly expanding strategic growth verticals, including the AI digital and tech sector, energy including nuclear, critical minerals and defense, where infrastructure investments continue to accelerate. This momentum builds on our long-established locally embedded presence in core infrastructure markets in North America, Australia and Europe, which remains the foundation for our competitive strength and our ability to scale into these next-generation markets as a life cycle partner. We command a strong competitive position in the AI, digital tech sector, and we have solidified our global leadership in data center engineering and construction with EUR 16.8 billion of new orders in '25, representing 21% of the group's total backlog. Just last week, Turner was selected as a construction manager for the USD 10 billion 1-gigawatt data center campus from Meta in Indiana. And we have solid medium-term visibility via our order book and our expanding private pipeline in North America, Europe and Asia Pac. Growth in the global data center market remained is strong, showing demand for cloud services and artificial intelligence is expected to quadruple [indiscernible] and compute CapEx by 2035, boosted by the growth of generative AI and further cloud migration. The group has the capacity and capabilities as a firmly established global end-to-end solution provider to address rising demand supported by its ability to attract talent and by number one, leveraging scale and relationships with hyperscalers and subcontractors; two, applying our global sourcing expertise three, by our increasing adoption of modularization and offsite manufacturing to deliver projects faster, safer and with higher quality. As part of the strategy to expand the group's presence in the entire ecosystem, HOCHTIEF is developing a pan-European network of sustainable edge data centers. A few months ago, we inaugurated our first edge data center developed own and operated by HOCHTIEF, a major milestone for the group's data center strategy. Three further data center sites will go live by the end of '27. Our ambition is to have over 30% of them in Europe by the end of the decade. HOCHTIEF will operate this edge data center network with innovative cloud computing solutions that offer digital sovereignty and enormous growth potential. Overall, we're increasing our participation for the full AI stack, including not just data centers, but also semiconductors, cloud infrastructure services and applications as well as moving into longer-term opportunities in areas such as agents and robotics. Energy is a strategic growth market for HOCHTIEF. Rising investment in energy security and the global transition to low-carbon systems underpin sustained demand for energy projects. HOCHTIEF is deeply engaged in these segments, delivering projects spanning electricity generation with scale storage, high-voltage transmission and regional grid fortification. We have several decades of experience designing and building nuclear power plants and facilities across the world, delivering end-to-end services in an industry which could see over EUR 500 billion in investment in Europe by 2050. During the final quarter of '25, we secured a EUR 685 million 50-year framework contract in the U.K. for civil infrastructure work at the Sellafield nuclear site. By the beginning of '26, an important strategic milestone was reached where HOCHTIEF was selected as part of Amentum's global product delivery team for the Rolls-Royce's SMR nuclear program. In renewables, we continue to strengthen our market presence, particularly in Australia, where companies have delivered more than 20 million renewable and storage projects. We're also capitalizing on the accelerating requirement for critical minerals, driven by clean energy technologies, digital infrastructure and defense organization. HOCHTIEF through the combined capabilities of Sedgman and Thiess has built a global position in minerals processing and sustainable mining services with projects across key commodities, including lithium, copper, rare earth, nickel, vanadium, uranium and zinc. In December, the group expanded its partnership with Vulcan Energy with a significant cornerstone equity investment as well as securing an end-to-end role in developing sleeping production and processing infrastructure here in Germany. As part of the agreement, the group has been appointed as the engineering, procurement and construction management contractor and named as preferred supplier for the projects, civil construction works. We have also won a contract to provide a feasibility study in front-end engineering this framework for a major lithium project in France. Defense is in our key growth vertical for the group with investment in related infrastructure expected to substantially increase globally for several years. In Europe, major multiyear defense investment plans, including Germany, present substantial opportunities in defense-related capital works and potentially via the PAP model. And in the U.S. and Australia, governments plan major ramp-ups in defense spending over the next decade. At the end of 2025, the group had a defense order book of over EUR 2 billion, which included the construction of major dry dock at Pearl Harbor for the U.S. Navy, work for the Royal Australian Air Force based in Queensland and defense infrastructure upgrades in South Australia. Furthermore, a North American civil works business, Flatiron has been selected as one of the group of companies for a potential USD 15 billion worth of contract opportunities for the U.S. Air Force Civil Engineering Center. And Yesterday, we announced that HOCHTIEF has secured a major 10-year collaborative contract for the German Armed Forces in Hamburg worth several hundred million euros. Our core infrastructure capabilities are key for the group's ability to fully harness the growth opportunities we have identified. On average, around 85% of infrastructure investment in our growth verticals relates to our core construction know-how. As you know, we're hold leading positions across several core segments, including health care, biopharma, sports stadiums and education. And we have been a global leader in transport infrastructure and sustainable mobility for several decades where the outlook is very positive due to several infrastructure stimulus packages in our key geographies in North America, Asia Pac and Europe. In Germany, for example, the EUR 500 billion infrastructure fund was its first full year deployment in '26. HOCHTIEF is very well positioned to benefit due to the scalability of its business model and its core expertise in bridges, rail and transmission lines with the group's German order book doubling over the last 3 years to over EUR 5 billion. Let me take a moment now to outline our dynamic and disciplined capital allocation approach, which is a key objective for management. 2025 was a very active year for strategic M&A. In January, we closed a EUR 400 million acquisition of Dornan, a major milestone in Turner's European expansion strategy, and we also finalized the FlatironDragados combination, creating the second largest civil engineering construction player in North America. During the year, we strengthened our position in high-quality concessions through an EUR 80 million participation in Abertis, EUR 400 million capital raise to support its acquisition of the A-63 toll road in France, expanding its portfolio duration and enhancing our exposure to stable infrastructure assets. As part of the expanded agreement mentioned earlier with Vulcan Energy, HOCHTIEF agreed in December to an EUR 130 million cornerstone investment in Vulcan shares to become its largest shareholder. The move is aligned with HOCHTIEF's strategy to expand for critical minerals and energy transition value chain, building an integrated presence in investment, extraction, processing and infrastructure. In CIMIC announced the formation of a strategic partnership with Sojitz Corporation under which the Japanese company will acquire a 50% equity interest in UGL's transport business. Our capital deployment remains focused on scalable, high return equity investment opportunities to increase our presence in the value chain for strategic growth markets and [PPPs]. Group-wide cooperation and synergies are critical delivering on this strategy. Over the last 3 years, we have committed EUR 600 million of equity investment in strategic growth markets, including initial investment in our edge data center platform based in Germany as well as the acquisition of the remaining 50% of cloud services provider, Yorizon. Internally, we're optimizing our core tech platform and systems as well as supporting our talent, management, AI and digital systems, transforming how we work and enabling the group to deliver innovative, efficient and smarter solutions for clients. Our third expertise, talent mobility as a collaborative culture, enable HOCHTIEF to operate as one unified global organization, strengthening the quality, consistency and impact of its work. Talent management is critical to create the teams which drive the business forward, and we're proud to have had a 2025 intake of 4,500 engineers in technical employees. Moving to ESG. Our focus on environmental, social and governance initiatives remains on track. On this front, it is notable that HOCHTIEF has been accreted to premise status during the 2025 for its ESG performance and achievements by ISS BSG rating agency. So let me conclude with a few closing remarks. Our strategic agenda is focused on positioning HOCHTIEF for sustained high-quality growth while reinforcing resilient long-term value for the group. Our key priorities are: first, driving top line growth by expanding our value proposition and capturing megatrend demand; two, expanding margins through the delivery of higher value services, engineering capabilities, supply chain and integrated systems, advancing operational integration by simplifying corporate structure and transitioning into a more high-tech enabled efficient organization with a lower cost base, enhancing cash flow stability and sustainability through further derisking the group's business model, generating long-term value creation and sustainable dividend growth drive shareholder remuneration. HOCHTIEF has entered 2026 with a strong financial foundation and with a unique position as a global end-to-end provider of infrastructure solutions across our high-growth verticals, supported by our leadership position in core markets. The group's operational net profit guidance for 2026 was EUR 950 million to EUR 1,025 million target in our year of accelerating growth, implying an increase of 20% to 30% year-on-year. Based on our guidance in 2026, we will have double HOCHTIEF's profit in the space of just 4 years. Looking forward, HOCHTIEF is embracing the future by developing a strategic presence in its growth markets. Our strong and expanding presence in these interconnected sectors is a key competitive advantage and underpins our long-term growth strategy. Combined with our strong balance sheet backed by disciplined cash management, we have created the necessary conditions to pursue further significant growth opportunities and continue delivering substantial value for all stakeholders. Thank you for listening. We're ready now to take your questions.
Mike Pinkney: We're ready for questions now, operator. Thank you.
Operator: [Operator Instructions] And the first question comes from Graham Hunt from Jefferies.
Graham Hunt: I've got 3, if that's okay. First, just on the guidance that you provided at your CMD last year. I just wanted to confirm that's still intact for Turner, so the 3.9% EBITDA margin, I think, and the 30% EBITDA growth. That's the first question. Second question, just trying to reconcile what's been extremely strong order intake in the Turner business. I think up doubling in Q4 and very, very strong outlook from some of your hyperscaler customers with relative to that, maybe growth, which is not as strong as maybe some are expecting or just not reflecting that sort of extremely strong outlook from your customers. And I was just wondering, are you reaching some capacity limits in the Turner business? Is there a reason why maybe that doubling of order intake isn't translating to faster growth in 2026? And then third question, just on operational synergies across the business. Just an update there in terms of how you're progressing with some of those projects.
Juan Cases: Thank you, Graham. So let me start with the first one. Let me start with a reflection that pretty much talks about guidance in general. I mean, when it comes to Turner, you're right. I mean, 2025 order book of around EUR 17 million, it's represents a 144% growth and the new orders of EUR 18.1 billion, it's 170% and we had a very strong Q4. Furthermore, there's around EUR 10 billion to EUR 12 billion of work that is not reflected in the backlog for Turner because as we always say, the way we engage into this contract is always through a negotiation, working in design once we are preferred, but before we can really put it in the backlog. So the growth of Turner is [indiscernible]. Now in terms of guidance, we -- there's always at the beginning of the year, a lot of unknowns and uncertainties, geopolitically speaking, et cetera. So we prefer to be conservative as we were last year, and we were the previous year, and we prefer to update throughout the year, right? So Turner is not reaching capacity not at all. We continue seeing very strong growth. We'll continue seeing very strong growth. We're very comfortable with that. We just want to make sure that we secure all that into the balance sheet, that there's no surprises, that there's no geopolitical changes before we provide further updates. And that applies to Turner and that applies to the rest of the business. In terms of operational synergies, we -- I mean, we expect -- I believe that we're going to make progress in 2026. We do have a high target. We're expecting to reach -- I mean, cost reduction first as we streamline the process, release bureaucracy, we upgrade our systems and we're going to be simplifying and decreasing cost. How much we would like to get that update throughout the year, right, especially because we want to make sure that we achieve all those synergies during 2026. And our intention is, by the end of 2026, to update through our Capital Markets Day as we did back in '24 for the following next 3 years. So we want to make sure that we secure we consolidate in all the high-growth areas. We incorporate all these projects. We put all the synergies in place, and then we provide the update.
Operator: The next question comes from Marcin Wojtal from Bank of America.
Marcin Wojtal: Yes. My first question is on cash flow generation, you had a strong inflow of working capital in 2025. To what extent do you believe this is something that is structural and should continue in 2026 you have strong order backlog. So presumably, we could expect another wave of prepayment. Is that the right way to think about cash flow for 2026? My question number 2, this is just a bit detail on the numbers, if you allow me. I wanted to ask you about your -- in your segmental reporting, you have a line, which is basically referring to Abertis and headquarters expenses and this line remains very negative. So I'm just wondering why such a negative item in that line? And is there any change in that line for 2026? So maybe -- yes, maybe those 2 questions.
Juan Cases: Yes. Okay. So starting with the cash flow. We -- I mean, as we continue to grow, we expect to see an improvement in cash flow. So we -- I mean, we are looking to a positive 2026 from a case perspective as well and net operating cash flow has been the last 3 years. The -- I mean a lot of the cash conversion, positive development that we're seeing, it's also a consequence of the change in our strategy, getting into a lot of these high-growth areas, securing all these projects. So we hope that, will continue. When you're asking about holding. That was an Abertis level or at HOCHTIEF level? Just to clarify.
Marcin Wojtal: No, no. So that is for segmental reporting of HOCHTIEF, there is a slide, Abertis and headquarters. So that's more at HOCHTIEF level, let's say?
Juan Cases: Yes. So what we did was we introduced noncash provisions and some deferred taxes. So the underlying is stable. But I mean we had noncash profits during the year. And typically, we don't want to reflect that in the P&L.
Operator: And the next question comes from Dario Maglione from BNB Paribas.
Dario Maglione: First of all, congratulations for the results. I mean these are the amazing results stepping back. Yes, I'll start with 2 questions. First, on partner as you said, the margin -- the profit before tax margin, 3.6% already in 2025. Where can margins go for Turner, let's say, in the medium term as the mix of data center increases? The second question is more -- some more details about Turner data centers. And if you could provide us the new order intake in data centers for the full year '25, the backlog and the revenue from data centers in USD terms, please?
Juan Cases: So let me start with the first one. So a couple of things. First, on the profit before tax margin, that was 3.6% in 2025. In the capital -- in the last Capital Markets Day in 2024, we anticipated that 3.5% will be reached in '26. So we achieved that 1 year. Now what's going to happen? First, that will continue growing at least at the same pace and has been growing the years, right, as we do more high-tech projects. But two, there's going to be another component, which is we will continue to increase our sales performance capabilities and a portion of the projects through supply chain, but also through modularization. So that's going to increase margins. And that's a big part of our strategy that we did announce last year, and we will want to consolidate during this year. So with Turner, as I said before, we had a strong intake. We're seeing big prospects coming to Turner and the areas of the business. If you go through data center specific question, the backlog right now in data center is EUR 16.4 billion. Just in data centers, there's another EUR 10 billion to EUR 12 billion that is not included in this number, but we've been preferred, but we're going through the design, so therefore, we cannot reflect, right? And that it's a year-on-year increase of 144%. The order intake of data centers during the year has been EUR 18.1 billion, and that's an increase of EUR 170 million. And again, that does include EUR 12 billion that I mentioned, right? If we move to the rest of the areas, we are seeing very much increase in biopharma, in aviation, including aerospace, some increase in -- a significant increase, but it's coming from a much lower base in commercial. And then the rest of the business is stable, except probably other areas like I mean, like hotels or some more traditional that is coming down, okay? But in the rest of the segment, there's another EUR 10 billion that is not reflected in their backlog in the same way that a EUR 12 billion data centers that we are preferred, but it's not in the backlog. So in a sense, there's a total backlog of USD 44.3 billion of Turner, out of which USD 16.4 billion is data centers, and you would need to add an amount of USD 22 billion to that USD 44.3 billion that we are preferred, but it's not in the backlog.
Operator: Then the next question comes from Luis Prieto from Kepler Cheuvreux.
Luis Prieto: I had 3, if I can. The first one is, if my numbers are correct, there's been a sharp acceleration in the E&C margin in Q4. I don't know if you can shed some light on why that has been. The second question, and apologies if you have mentioned it, there's so much detail and information that I might have missed it. But the operational result contribution was guided -- from Abertis was guided at EUR 81 million for the full year, but it was EUR 58 million in the end. Could you please explain the reasons behind this, behind the miss, if I may call it? And then the third question, there have been press reports in Spain on your potential interest to spend as much as EUR 1 billion in defense technology players, the military driven players, not construction related or anything like that. Should we expect you to be active on this particular M&A front?
Juan Cases: Excellent. So let me start with the first one on E&C in Q4. E&C, especially Germany and Europe is going to see a big increase moving forward. And we're expecting a big increase in '26. In '26 certainly, the profit of HOCHTIEF in Europe will start going up and you saw the guidance that we're giving. But more importantly, the order intake and the backlog. And why? Because there's a lot of work coming from Deutsche Bank, there's a lot of work coming from Autobahn, and there's a lot of work coming from defense. And that's going to start coming to the company. Now when it comes to Abertis, I mean, in general, the performance, there's a positive operational performance in '25, right, when you look at the target developments and the traffic. So that continue. There's an impact on the profit because of the corporate tax in France, right? And that's probably what you're looking at when you see the difference. And then the other part could be the foreign exchange rate movement on OBBBA. And then when it comes to the press report in defense, I mean, we don't know where the article came from. Certainly, when it comes to M&A, we're going to continue being selective and making sure that it incorporates additional capabilities to us. We -- I mean, I know that there's a lot of focus on our growth in data centers in the last years and the next years for the right reasons and that will continue to grow significantly. But we would like to grow in the different verticals, right? There's growth in the critical metal sector. There's a lot of growth in the energy sector. We see a lot of growth in the nuclear sector, and we see a lot of growth in defense. Now where do -- how we use our capital allocation among all those verticals to incorporate engineering capabilities and additional capabilities is something that we're deeply analyzing and we will be very selective. But we haven't announced anything. And if we do, you will all be the first ones to know.
Operator: Then we have a follow-up question from Graham Hunt from Jefferies.
Graham Hunt: Yes. Just one on your nuclear capabilities actually. I don't know if you could provide a little bit more color around the Rolls-Royce SMR program just in terms of the time lines there in terms of when we might see impact on the order book and maybe just scale and just what your thoughts are there on the outlook for that win or that partnership?
Juan Cases: So let me start with the main numbers on the project, right, that you saw. So the contract -- the Rolls-Royce contract is in reality a program, right? This is pretty much to deploy the SMR plant from Rolls-Royce across Europe and potentially beyond. We won that incorporation with Amentum to become the program delivery partner and maybe is to start the first ones will be implemented in United Kingdom and other places in [indiscernible]. Now in terms of the contract, the -- right now, they are looking at the deployment of the first 3 to 4, but there's an initial plan of like 15 that will be deployed. The initial ones have a cost of around EUR 6 billion, and this is just an estimate, and the idea is to decrease that over time. We're still working on the different components of that CapEx and how we'll be distributed, et cetera. The initial part is mainly engineering. And our objective, our work will be to help on -- as part of the traction to try to modularize as much as possible to optimize those SMRs and make sure that they can build, I mean, at scale with the right supply chain, right mineralization and standardizing the contact. So for us, it's a very important project. As you know, HOCHTIEF built 13 out of 20 large plants in the past. Since then, we've been basically maintaining and dismantling. You saw that, well, we continue doing all of that work in Germany, and we won't sell a field in eastern countries, but now we wanted to go taking advantage of the new wave of nuclear moving from dismantling and maintaining to building large plants. And there's a big plan that we are deploying with the first contract being this one, but we continue working to enhance our capabilities because we see a lot of potential in Europe, in the U.K., in eastern countries, other places, but then it won't come in the U.S. So we're building our capabilities, and we're creating alliances. We will announce as we evolve in our strategy, we will provide further updates during 2026.
Operator: And we have another follow-up question from Dario Maglione from BNP Paribas.
Dario Maglione: Yes, maybe 3 more from my side. On the data center revenue, in Turner. I don't know if you provided that detail before. It would be helpful to know the revenue from the percent in Turner in USD terms in 2025. Then second question around the order backlog for data centers. You mentioned before -- sorry, the intake was EUR 16.4 billion. I think, for Turner, that implies another USD 3 billion of intake in data center somewhere else in the business. Is that mainly Asia Pacific? Maybe can you tell us more about these projects? And the last question, strategically, why are you investing in the in the digital cloud infrastructure for the edge data center in Germany and Europe? Like why not just keeping the edge data center, why also investing in the digital part of the infrastructure?
Juan Cases: Okay. So starting with revenues of Turner. In 2025, I think that it was USD 10 billion, just in data centers, okay? And we're expecting that figure to continue increasing all the way up to EUR 25 billion to be achieved '29, '30, in conservative. In the case of the -- I mean, let me jump to the last one because I will ask some clarity around the EUR 16.4 billion question. On the digital cloud, I mean the difference between the big ones and the small ones is that the small ones have 2 main purposes. The first one is it's mainly inference processing capability, but also from a data storage perspective is pure colo. So we commercialize among a lot of different clients. The big ones, typically between 1 or 2 clients. And that type of business with the big ones is more kind of a lease of the facility versus the other business that will provide the full package, right? The cloud services, the cyber, et cetera. That's why we -- as we deliver the full service, we are enhancing our capabilities in this area. Now around the second question, can you repeat the question about the EUR 16.4 billion, please?
Dario Maglione: Yes. So in Slide 8 of the presentation, at the very top left, it says total order for data centers is EUR 16.8 billion in 2025. So I guess most of it is in Turner, but there is a portion of that orders that is somewhere else in the business. So I was curious to learn more about these projects outside of the U.S. outside Turner let's say.
Juan Cases: So I don't have -- I mean the Turner 1 is the figure that I gave before. That was the order intake of EUR 18.1 billion and the backlog EUR 16.4 billion. The difference is mainly [indiscernible] towards the rest of the numbers. But we can provide you with the figures in a follow-up call.
Operator: So it looks like there are currently no more questions. So I would like to turn the conference back over to Mike Pinkney for any closing remarks.
Mike Pinkney: Yes. Thanks very much, operator. So thanks to everyone for calling in. And obviously, we're delighted to follow up with any further detail offline. Thank you, everyone. Thank you for your time.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.